Operator: Good day, and thank you for standing by. Welcome to the Q3 2025 Steve Madden Ltd. Earnings Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Danielle McCoy, VP of Corporate Development and Investor Relations. Please go ahead.
Danielle McCoy: Thanks, Brittany, and good morning, everyone. Thank you for joining our third quarter 2025 earnings call and webcast. Before we begin, I'd like to remind you that our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to materially differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our press release issued earlier today and filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. The financial results discussed on today's call are on an adjusted basis, unless otherwise noted. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release. Joining me on the call today are Ed Rosenfeld, Chairman and Chief Executive Officer; and Zine Mazouzi, Chief Financial Officer and Executive Vice President of Operations. With that, I'll turn the call over to Ed. Ed?
Edward Rosenfeld: All right. Thanks, Danielle, and good morning, everyone, and thank you for joining us to review Steve Madden's third quarter 2025 results. As anticipated, the third quarter was challenging, driven largely by the impact of new tariffs on goods imported into the United States. During the period in April and May when new tariffs on Chinese imports reached 145%, wholesale customers cut back meaningfully on orders for the third quarter, and we shifted large amounts of production out of China midstream, which led to shipment delays. These factors, together with the negative impact to gross margin from the significant increase in our landed costs, resulted in substantial pressure on both revenue and earnings in Q3. Fortunately, while we will continue to see negative impacts from tariffs, we believe the worst is behind us. Order patterns from our wholesale customers are normalizing, and we are mitigating a larger percentage of the gross margin pressure through strategic pricing actions and sourcing initiatives. Most importantly, underlying consumer demand for our brands and products is strong. Despite the noise from tariffs, our team has stayed laser-focused on executing our strategy to deepen consumer connections through the combination of compelling products and effective marketing, and we are seeing those efforts pay off, particularly in our flagship Steve Madden brand. Steve and his design team have created an outstanding fall product assortment that is resonating with consumers and enabling us to outperform the competition. Boots have been the standout, led by our casual tall shaft styles, but we're also seeing strong performance in dress shoes across various heel heights as well as casuals like loafers, Mary Janes and Mules. Our marketing team is amplifying this great assortment with richer brand and product storytelling and increased investment across YouTube, TikTok, Snapchat and Pinterest, which is driving measurable increases in awareness and conversion with our key Gen Z and Millennial consumers. As a result, both wholesale sell-through and DTC sales trends for Steve Madden have accelerated meaningfully in recent months. Our new brand, Kurt Geiger London, also had strong momentum as consumers continue to respond to its bold statement-making designs and eye-catching marketing, including the current campaign featuring Emily Ratajkowski. Comp sales for the brand were up mid-teens in the third quarter. Overall, the acquisition integration remains on track, and our teams continue to make progress on revenue synergies, including expanding Kurt Geiger in international markets through the Steve Madden network and growing Steve Madden in the U.K. through the Kurt Geiger platform as well as cost savings opportunities in areas like freight and logistics. We are also making meaningful progress in advancing our other owned brands. In Dolce Vita, we're building on the outstanding success we've had over the last several years in our U.S. footwear business by expanding international markets and extending the brand into other categories like handbags. In Betsey Johnson, we are driving renewed cultural relevance for the brand with elevated talent partnerships, authentic community engagement, high-impact activations and differentiated merchandise assortments. Both Dolce Vita and Betsey Johnson are on track to deliver revenue gains for the full-year 2025 despite the headwinds from tariffs. In sum, while the third quarter was undeniably challenging and our financial results were not up to our usual standards, our team's disciplined execution of our strategy is strengthening our brands and building relevance and demand with consumers. We are confident that we will begin to see improved financial performance in the fourth quarter and looking out further that we have the brands, business model and strategy to drive sustainable revenue and earnings growth over the long term. Now I'll turn it over to Zine to review our third quarter 2025 financial results in more detail.
Zine Mazouzi: Thanks, Ed, and good morning, everyone. In the third quarter, our consolidated revenue was $667.9 million, a 6.9% increase compared to the third quarter of 2024. Excluding the newly acquired Kurt Geiger, consolidated revenue decreased 14.8%. Our wholesale revenue was $442.7 million, down 10.7% compared to Q3 2024. Excluding Kurt Geiger, our wholesale revenue decreased 19%. Wholesale footwear revenue was $266.5 million, a 10.9% decrease from the comparable period in 2024 or down 16.7%, excluding Kurt Geiger. Wholesale accessories and apparel revenue was $176.2 million, down 10.3% compared to the third quarter in the prior year or down 22.5%, excluding Kurt Geiger. The majority of the organic decline in wholesale revenue can be attributed to tariff-related order reductions, shipment delays and other impacts related to the production disruption. In our direct-to-consumer segment, revenue increased 76.6% to $221.5 million. Excluding Kurt Geiger, our direct-to-consumer revenue increased 1.5%. We ended the quarter with 397 company-operated brick-and-mortar retail stores, including 99 outlets as well as 7 e-commerce websites and 133 company-operated concessions in international markets. Our license and royalty income was $3.7 million in the quarter compared to $3.5 million in the third quarter of 2024. Consolidated gross margin was 43.4% in the quarter, up from 41.6% in the comparable period of 2024 due to the impact of Kurt Geiger, which has a much higher mix of DTC than the legacy business and therefore, has higher overall gross margin. Wholesale gross margin was 33.6% compared to 35.5% in the third quarter of 2024 due to pressure from tariffs, partially offset by our mitigation efforts. Direct-to-consumer gross margin was 61.9% compared to 64% in the comparable period in 2024 due to pressure from tariffs as well as the addition of Kurt Geiger, which had lower DTC margin in the quarter than the existing business, driven by the concessions business. Operating expenses were $243.4 million or 36.4% of revenue in the quarter compared to $174.2 million or 27.9% of revenue in the third quarter of 2024. Operating income for the quarter was $46.3 million or 6.9% of revenue compared to $85.4 million or 13.7% of revenue in the comparable period in the prior year. The effective tax rate for the quarter was 23.4% compared to 23.8% in the third quarter of 2024. Finally, net income attributable to Steve Madden Limited for the quarter was $30.4 million or $0.43 per diluted share compared to $64.8 million or $0.91 per diluted share in the third quarter of 2024. Moving to the balance sheet. Our financial foundation remains strong. As of September 30, 2025, we had $293.8 million of outstanding debt and $108.9 million of cash, cash equivalents and short-term investments for a net debt of $185 million. Inventory at the end of the quarter was $476 million compared to $268.7 million in the third quarter of 2024. Excluding Kurt Geiger, inventory was $275.6 million, a 2.6% increase compared to the same period last year. Our CapEx in the third quarter was $11.6 million. During the third quarter, the company did not repurchase any shares of its common stock in the open market. The company's Board of Directors approved a quarterly cash dividend of $0.21 per share. The dividend will be payable on December 26, 2025, to stockholders of record as of the close of business on December 15, 2025. Turning to our fourth quarter '25 guidance. We expect revenue to increase 27% to 30% compared to the fourth quarter of 2024, and we expect earnings per share to be in the range of $0.41 to $0.46. Now I would like to turn the call over to the operator for questions. Brittany?
Operator: [Operator Instructions] Our first question comes from the line of Paul Lejuez with Citi.
Kelly Crago: This is Kelly on for Paul. Ed, you sounded pretty positive on what you're seeing on the fashion front. I'm just curious if you could talk more about how you're seeing the fashion develop this fall, how inventory levels in the wholesale channel are looking? If that makes you think differently about sort of the prospects for spring, particularly in the wholesale channel.
Edward Rosenfeld: Yes. Kelly, yes, we feel really good about what we've seen in fall. As we mentioned, we've seen a pretty meaningful acceleration in the trends, particularly in that core Steve Madden women's shoe business. As I called out, I think the biggest driver has been boots. Our boot assortment has just seen really strong performance. We called out that it's been led by the casual tall shaft styles. Those have been most important, but we've got a number of other things working in the boot and booty category as well. Then as I said earlier, it's not just about boots because we've really seen a nice improvement in the dress shoe category. That's obviously a category where we think we have a really strong competitive positioning and our team has executed there. We're seeing strength in a number of different sort of looks within the dress category, and as I mentioned, really at various heel heights. Then casuals have been important, too. The fashion sneaker business has downshifted a bit, and we're picking that business up and then some in loafers and Mules and Mary Janes. Really feeling better than we have in some time about our fashion in Steve Madden and how it's performing. Yes, it does give us confidence going into spring that -- and I think we feel better than we did a few months ago about how spring is shaping up.
Kelly Crago: Good to hear there. Then on the 4Q guide, well above sort of where consensus is looking. I was just -- could you just break that down a bit for us in terms of what you're expecting from the core relative to the kind of down 15% you saw in the third quarter, whether there's any shifts there or what's kind of driving any acceleration there? Just what you would expect from KG in the fourth quarter?
Edward Rosenfeld: Sure. Yes. The core business, if you exclude KG, the revenue guide is essentially down 2% to down 4%. That includes increases in both wholesale footwear and DTC, but still a decline, offset by a decline in wholesale accessories and apparel. Then the KG contribution to revenue, I think at the low end, we're at $182 million and the high end $187 million.
Kelly Crago: Any sense of the breakdown when we think about our models and how much of that KG revenue is coming from the DTC channel in the fourth quarter? What kind of impact that'll have on the grosses?
Edward Rosenfeld: Yes. I mean, as you know, overall, KG is over 70% DTC. In the -- I think I have to -- I mean, I want to say it's probably about $135 million, something like that in the fourth quarter coming from DTC. Obviously, that does have a meaningful mix impact to gross margin.
Operator: Our next question comes from the line of Anna Andreeva with Piper Sandler.
Anna Andreeva: Congrats. Nice results. A couple of questions. Are you seeing stockouts in the core Madden business, just given everything that's going on with the supply chain? How quickly can you chase? Great to hear about DTC ex-KG bouncing back to positive. Ed, you mentioned a strong consumer response to a number of categories. Can you parse out how own e-com did versus brick-and-mortar? How does the 10% reduction in China affect your thinking about sourcing?
Edward Rosenfeld: Sure. Yes. Look, are there certain styles where we've had stock outs? Yes. Generally speaking, we've been able to chase some of the additional demand in the core Steve Madden business. As you point out, because of the supply chain disruption, we don't have the ability to chase that we normally do and the speed that we normally do. We did front-load some merchandise here because we had good reads on these products, and so we were in a position to fill some reorders, for instance, in Steve Madden. Then also some of this product is coming -- or a good portion of it is coming from Mexico. Obviously, we -- that's where we have a lot of speed, and we can get back into reorders in 30 days. That, I think it has been an okay story. I think the second quarter was about e-commerce versus bricks and mortar. In both Steve Madden and Kurt Geiger, e-commerce is outpacing bricks-and-mortar, but we've seen -- we talked about the acceleration in Steve Madden. We've seen that in both e-com and stores in recent months. Then in terms of the final question, I think it was how does the China reduction impact our sourcing. Look, it's obviously -- it's a welcome development to see the reduction in the tariff on China. The way that the tariff regime looks right now, the math would tell us we would move quite a bit back to China. I think that we're going to be careful about that. We want to remain diversified. We don't want to get back into a position where we have 70-plus percent of our sourcing coming from one country, so we're going to continue to try to be diversified, but it obviously does give us a greater flexibility to go back to China where we need to, to get the right deliveries and quality, pricing, speed, etc.
Anna Andreeva: Just as a follow-up, as we think about the KG rollout plans as we look into next year, just any color you could provide how we should think about the store growth versus wholesale?
Edward Rosenfeld: Yes. Well, we will be -- we're going to, I think, not get into a lot of detail about '26 overall because we'll obviously be talking about that on the next call. I can tell you that we do plan to open a handful of stores in the United States next year for Kurt Geiger, and we're working on those plans now. As we've talked about the initial 6 stores in the United States are performing very well. We're getting pretty close on a handful of leases for next year to continue that rollout. There'll be some wholesale growth as well because I think that we have opportunity in both channels.
Operator: Our next question comes from the line of Jay Sole with UBS.
Jay Sole: Ed, I think I heard you say that legacy Steve Madden should be down by 2% to 4% with wholesale footwear and DTC positive. Can you just talk about how you're thinking about 4Q for the entire wholesale footwear segment and then wholesale accessories, that would be helpful.
Edward Rosenfeld: Yes. Wholesale, including Kurt Geiger or excluding Kurt Geiger?
Jay Sole: I guess, excluding Kurt Geiger.
Edward Rosenfeld: Excluding Kurt Geiger, wholesale footwear, we're looking at up 2% to up 4.5%. Wholesale accessories and apparel, excluding Kurt Geiger, still down mid- to high teens.
Jay Sole: Then I guess if you think about Kurt Geiger retail versus wholesale, I mean, how are you thinking about that?
Edward Rosenfeld: Well, we've provided the DTC revenue for Kurt Geiger, which I said I think is going to be around $135 million. Then the overall number for Kurt Geiger, $182 million to $187 million is the range.
Jay Sole: Then I guess just -- you asked this a couple of times, but just on your visibility, I mean, have you taken orders -- do you take orders earlier for Kurt Geiger relative to the Steve Madden business? I mean do you have visibility out into Q1 and Q2 yet for Kurt Geiger? Or is it going to be on the same sort of quick turning supply chain that Steve Madden is on?
Edward Rosenfeld: No, we do take orders earlier there, so we'll have more visibility over time there.
Jay Sole: I guess any comment on the order book and how that's shaping up right now?
Edward Rosenfeld: I think we're going to postpone all discussion of '26 until the next call. Look, the Kurt Geiger brand continues to perform very well, and we're going to see growth next year.
Operator: Our next question comes from the line of Abigail Zvejnieks with BNP Paribas.
Abigail Zvejnieks: I wanted to ask on Kurt Geiger as well. I appreciate the comment on comp sales up mid-teens. Any color you can share on how Kurt Geiger performed by region in the quarter?
Edward Rosenfeld: Yes. It's growing in all the core regions. They performed well in their home market of the U.K. continues to grow in the U.S., and we're also growing in Europe.
Abigail Zvejnieks: Then you've talked about the revenue synergy potential there and one of the first pieces of that being plugging -- sort of plugging KG into your existing international markets. I know it's still early, but any updates on that in terms of how that's progressing or when you could start seeing some of those benefits?
Edward Rosenfeld: Yes. We've been hard at work on that. Kurt Geiger, our CEO, just went on a world tour. I think he was -- he hit, I want to say, 4 continents over a 3-week period, meeting with all of our international teams and international partners. That work is underway, and I think we'll start to see some benefits in '26, probably more -- I think anything that will be meaningful to the numbers would be towards the back end of '26.
Operator: Our next question comes from the line of Marni Shapiro with The Retail Tracker.
Marni Shapiro: Your stores have really looked beautiful. Could we just focus a little bit on some of your smaller but growing areas? It sounds like the handbag business was a little bit disrupted. I'm guessing some late deliveries. I'm curious if you could just talk a little bit about what's going on there. Then can we get an update on the apparel business, both at stores like Macy's, Bloomingdale's and REVOLVE as well as Madden NYC at Walmart?
Edward Rosenfeld: Yes, sure. In terms of handbags, look, that's obviously been a category -- talking about Steve Madden handbags that we have talked about all the year was going to be down based on the excess inventory in the channel and some of the market pressures that we've experienced there, that was -- so we came into the year expecting that business to be down double digits. That's been exacerbated by all the tariff disruption and everything that's happened with the supply chain and deliveries and everything else. We certainly felt a lot of pressure there, and we're going to continue to feel that in Q4. The good news is that the underlying demand, I think, is improving, and we've seen good sell-throughs in fall so far, improved over spring. We've got a number of things working there. I think that our online Hobos, shoulder bags, East West bags, anything in Brownsway. We've got the trends, and they're performing. I do expect that business to stabilize as we come into spring '26. Then apparel, as you know, has been a nice growth story for us. The focus, of course, is Steve Madden apparel, and that's a business that we've been -- the sell-throughs have been good, and we've been steadily growing it in those key accounts that you mentioned, Nordstrom, Dillard's, Bloomingdale's, [Topdoors] and Macy's, REVOLVE, etc., and then to your point, we also have the mass business that we do with Walmart under Madden NYC. That's an important business for us as well, although our overall business in the mass channel has definitely felt some pressure from tariffs. We expect that to get better as we go into '26.
Marni Shapiro: Then can I just follow up on what's going on, on the bag side and the department stores -- I'm sorry, in the shoe side and the department stores. Are you seeing a big difference between the higher-end stores that you sell, some of the better stores or, I guess, even more fashion stores, REVOLVE is a much more fashion store than some of the others versus stores that are a little bit less fashion? Or it's across the board, your sell-through has been good and there's not a lot of price resistance to the Madden brand when the product is right?
Edward Rosenfeld: Yes. We've been really pleased so far with the lack of price resistance that we've seen, particularly in the Madden brand. I think as we've said, we have a lot of very strong fashion right now. I think overall, if you look at the overall company, the real takeaway on the price increases is that when you have real fashion forward products or new fashion, the consumer is willing to pay, where you have to be much more careful with price increases is on the core and more basic product. The good news is that's how we did it, and that's how we planned it. As you know, we were very surgical about it. We didn't take a peanut butter approach where we spread the price increases evenly everywhere. We went style by style. I think that so far, we've been pleased with how the price increases have been received by the consumer.
Marni Shapiro: The product really looks outstanding, some of the best product out there in the market.
Operator: Our next question comes from the line of Corey Tarlowe with Jefferies.
Corey Tarlowe: Ed, I was just wondering if you could talk to the AUR lift in the business. You're selling $200 boots today versus sneakers that were more like $70 previously. How is that affecting the business? What's the impact on sales and comp? How do you measure that? How do these fashion trends speak to what AUR could be next year?
Edward Rosenfeld: Yes, we are seeing a pretty significant increase in AUR, and it's really twofold. It's one, it's based on the price increases that we've put through in response to tariffs. Number two, it's -- as you point out, there's a mix benefit due to selling more boots and higher-priced categories. In Q3, in our DTC, we were up about high singles in AUR. In Q4, we're running more like mid-teens increases in AUR.
Corey Tarlowe: Then it does feel as if there's a bit of a tone shift in your commentary around wholesale, where kind of the first half of the year, I talked about order cancellations and now you're talking about orders ramping back up. I'm curious if is this the fact that the channels are doing better? Or is it that you see Steve Madden gaining more market share in these channels? How do you think about that?
Edward Rosenfeld: I think it's both. Look, if my tone didn't get better from how I was talking when we had 145% tariffs and everybody canceled every order, then it would be pretty depressing. Look, some of that -- the external noise has abated a bit. I think things are normalizing in the wake of all the tariff disruption. In addition to that, we are also seeing improved underlying demand, improved sell-through, and that's causing the wholesale customers to come back to us with more aggressive plans.
Corey Tarlowe: Then if I could just squeeze one more in. it seems like the product is resonating really nicely. Intuitively, what do you think that means for promotions? What's embedded in your outlook for that?
Edward Rosenfeld: Yes. I mean the good news is we have been able -- for instance, in our DTC channels, we have so far in Q4, reduced promotional days by a pretty meaningful amount compared to what we were doing last year. We've been able to be less promotional because of the strength of the product and the trend. We'll do -- obviously, we need to remain competitive when we get into the fall -- the part of the holiday season here when everybody is promotional, but we're going to attempt to continue to be less promotional where we can.
Operator: Our next question comes from the line of Tom Nikic with Needham.
Tom Nikic: I wanted to ask about the margin structure of the business. Obviously, 2025 between tariffs and the acquisition and maybe some tough first half of the year at the core brand or a tough first 9 months. There was quite a bit of margin erosion this year. How do we think about how much of that is recoverable and how much may be structural?
Edward Rosenfeld: I'd like to think all of it is recoverable over time. I think it's going to take a little bit of time. I don't expect us to get it all back in 2026. Certainly, the over time, I do believe that the tariffs are going to find their way into the retail prices, and we'll be able to get back to our pre-tariff margins in the core business. Then the Kurt Geiger business is obviously lower margin than the legacy business. We think that business has a path to getting to where the Steve Madden levels or potentially even higher over time, so that's the goal.
Operator: Our next question comes from the line of [James Ross] with Williams Trading.
Unknown Analyst: 2 questions actually. The first being, how will the mix of business with the addition of Kurt Geiger impact gross margins in Q4? I know we kind of touched on it in the first question, but I was hoping you could sort of dig into that a little deeper maybe. The second being, can you provide some color on brand growth and opportunities internationally and what that looks like going into next year?
Edward Rosenfeld: Yes, go ahead.
Zine Mazouzi: As far as your first question related to Kurt Geiger impacting gross margin in Q4, I think it would be similar to what we've seen in Q3, somewhere around 300 basis points.
Edward Rosenfeld: I'm sorry, what was the second part of the question?
Unknown Analyst: Yes. The second part was, could you provide some color on brand growth and just generally the opportunities internationally and what that looks like going into next year?
Edward Rosenfeld: Okay. Is this about the legacy business or Kurt Geiger? You asking about Kurt Geiger or the legacy Steve Madden?
Unknown Analyst: Steve Madden and then also Kurt Geiger as well.
Edward Rosenfeld: Sure. Yes. Steve Madden, we continue to have nice momentum in international markets. For 2025, we're looking at high singles revenue growth, and that's very similar across the 3 regions. Very similar growth in the -- our 3 key regions being EMEA, APAC and the Americas, ex-U.S. So nice momentum really across the board, and we'll look for continued growth into 2026. Then Kurt Geiger, as we've said, they're in the really -- the early stages of their growth outside the U.K. and the U.S., so we'll be looking for very strong double-digit growth internationally out of them for a handful of years here.
Operator: Our next question comes from the line of Janine Stichter with BTIG.
Janine Hoffman Stichter: I just want to follow up on the margin recapture. If you could help us out. I think the tariffs you had that hit gross margin a little over 200 basis points in Q2. How much was it in Q3? Then how to think about Q4? Maybe help us unpack that Kurt Geiger between that and the core business. I think Kurt Geiger had been hit a bit more in the front of the year just because you hadn't been able to move as quickly there.
Zine Mazouzi: Yes. As far as the tariff impact in Q3, given all the moving parts with the price increases, factory discounts, our renegotiated cost in as well as FOB differential between all the countries, I think it's best to look at it from a growth and mitigated perspective, and Q3 was about 100 basis points more than what Q2 was. I think you're asking about Q4 as well. I think it would be a little bit worse than that in Q4.
Janine Hoffman Stichter: The Q4 is -- the 100 is mitigated and it will be worse in Q4 versus Q3?
Edward Rosenfeld: Q3 was about 100 basis points worse than Q2, and we expect Q4 to be a little bit worse than Q3, but those are unmitigated, so the mitigation gets bigger over time. The net impact to gross margin will be considerably less in Q4 than it's been.
Janine Hoffman Stichter: Then just maybe on the mitigation. I just want to clarify on pricing. I think you took 10% increases earlier this year. Have you taken more? Or do you plan to take more?
Edward Rosenfeld: That's where we are right now. We'll have to look at it as we go forward. That obviously is still not enough to offset the full amount of the tariffs. Over time, we'd like to see if we can take more, but we want to be prudent about it.
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group.
Dana Telsey: As we think about the wholesale business, what differed by type? Were there off-price department stores mass? What did you see? What do you think of the outlook going forward? Then on the DTC side, was there a difference between full price and outlet performance?
Edward Rosenfeld: Yes. In wholesale, I would say we're seeing the strongest performance in the regular price channels, where we have had more pressure is in the value price channels like the off-price and the mass. In terms of DTC, we're seeing much better performance in full-price channels. Outlet remains a drag. I think we're being hurt by a couple of things there. One is, 5 of our biggest 8 outlet stores are on the border with Mexico. Those stores are running down about 40% and so that's been a big headwind there. Then the other thing is that I think we were impacted more acutely there by some of the disruption from the supply chain in the wake of tariffs. Outlet has still been trending negative and full price stores have been much better.
Dana Telsey: Then just on the value side of the wholesale channel, are they just not taking orders? Are they waiting for newness? Are they waiting for more goods, not accepting the price increase? Any way to articulate it?
Edward Rosenfeld: Well, they were the ones that pulled back most significantly. Again, it was during the period in April and May when China tariffs were 145%. They are coming back now, and we're seeing those businesses normalize, but that was where we felt a big part of the pullback in the last couple of quarters.
Dana Telsey: Just lastly, on marketing, as you think about Q4, anything we should be watching on the marketing side given your improved social that you've had in terms of marketing as we head into the holiday season?
Edward Rosenfeld: No, we're just going to continue to keep doing the storytelling. I think that we see it's working. I think our marketing teams are hitting the bull's eye, and we got -- we're just going to keep investing and keep telling our and keep engaging with consumers.
Operator: Our next question comes from the line of Paul Lejuez with Citi.
Kelly Crago: Kelly again. I just wanted to follow up on an earlier question around the KG margin structure. In your disclosure, you said, KG was about 9% EBIT margin business in F '24. Curious where that's going to shake out this year with the tariffs. Then as we look to '26, how much can you recover? Can you get back to the 9% next year? Just longer term, I mean, you spoke pretty positively about KG margins. Where ultimately do you think this business can land? How do you get there? Is it through SG&A synergies, anything in the gross margin to speak about? Just any color on sort of how we should think about the KG margins as we look forward?
Edward Rosenfeld: Yes. In terms of this year, for the partial period that we're going to -- that we own them from May on, I think that they're going to come in around 6%. In terms of next year, we'll talk in more detail about that on the next call. Certainly, we should see improvement from where we were today from where we were this year, but I think we'll postpone any further discussion of that until that call. Then in terms of the -- the last -- the drivers to get longer term. Yes. I think there's opportunity in both gross margin and SG&A, but I think the bigger opportunity is in SG&A. There's some cost savings opportunities that they're going to get from the combination with us, which we're already -- all that work is already underway. We also think there's a significant opportunity to just leverage operating expenses over time as we grow that business.
Kelly Crago: Just curious where you maybe think that those margins could go longer term?
Edward Rosenfeld: Yes. I think what we said earlier was that certainly the intermediate target would be to get to where Steve Madden, the legacy business was historically, but we think there's opportunity beyond that.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Ed Rosenfeld for closing remarks.
Edward Rosenfeld: Great. Well, thanks so much for joining us today. We hope you have a wonderful day, and we look forward to speaking with you on the next call.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.